Operator: Good afternoon, everyone, and welcome to the HIVE Q1 2025 Earnings Call and Webcast. At this time, all participants are in a listen-only mode. [Operator Instructions] And now at this time, I'd like to turn things over to Holly Schoenfeldt, Director of Marketing. Holly, please go ahead.
Holly Schoenfeldt: Hello, everyone, and welcome to today's webcast reviewing HIVE Digital Technologies' financial results for the quarter ended June 30, 2024. On Slide number 2, I would like to briefly note disclosures. Except for statements of historical fact, this presentation contains forward-looking information within the meaning of the applicable Canadian and U.S. securities regulations. These forward-looking statements are based on expectations, estimates, and assumptions as of the date of this presentation. On the next slide, I'm pleased to introduce today's presenters, Frank Holmes, Executive Chairman; Aydin Kilic, President and CEO; and Darcy Daubaras, Chief Financial Officer. On the next slide, I would now like to hand the presentation over to Mr. Frank Holmes for a macro recap of the quarter. Frank?
Frank Holmes: Thank you, Holly. And it's great to see how dynamic we are and that we're functioning in all these different jurisdictions from Vancouver to speaking for this conference. It will be Aydin actually from the Canaccord, small cap, mid-cap, biggest conference on the East Coast in Boston. I'm in San Antonio, Texas, and we function in nine time zones in Bitcoin mining and running and managing data centers. So I think it's really quite amazing how fluid this is. But as we jump into the next slide, the DNA of volatility is understanding the risk. And I think this is a very important visual for investors to recognize all these external forces that do impact the daily volatility. And one standard deviation for Bitcoin is plus or minus 2% is normal. But over 10 days, it's 8%, which is, you can see, four times greater over 10 days than the S&P 500.\ Nvidia is 9%, and MicroStrategy is 21%, and HIVE Digital Technology is 23%. On a daily basis, it is a non-event for MicroStrategy or HIVE Digital to go up or down 6% in a day. And that's predominantly because of external forces such as Bitcoin prices, geopolitics, geoeconomic events, which recently happened in Japan. But during all of this volatility in the next slide, I like to point out that HIVE is operating in nine time zones, four languages, soon to be five. We have locations in Switzerland and functioning facilities in Sweden, Iceland and Canada. We have offices in Bermuda and in Texas, and I'm calling in from San Antonio. And we are expanding into Paraguay in South America. Next slide. HIVE Digital is proud to be bolting ahead, in particular, sourcing green energy, which has been a big challenge to get sized, like 100 megawatts, which we've been able to do in Paraguay. But we're the first to go public of all the crypto mining companies in 2017. And actually, we're first to HODL. We launched HODL as Ethereum and then Bitcoin. We first developed our own ASIC mining rig with Intel, first to buy data centers, first to be green energy focused, first to balance the electrical grid, in particular, hedging currency volatility and electricity prices. And when we look in Sweden, and then we're first to have an AI strategy repurposing our GPU chips. HIVE announces plans to build, in the next slide, a 100 megawatt hydroelectric data center in Paraguay, targeting to double the revenue and increase the hash rate. And I think it's really important to recognize that when we look in this last quarter and the results, those results capture the halving. And how do they compare to the first quarter? And how do they compare to last year? It's really quite significant as we go through this presentation on the financial results, even with the halving taking place. That is the halving meaning that the amount of Bitcoin eligible to be mined each day is gone from 900 to 450. But what's really important is that Bitcoin during this period has gone from 30,000 to 60,000. And that's been much more significant when you run a lean G&A operation like we do. We also, we're very happy to see B. Riley Securities initiate coverage on HIVE and give a suggestion for a much higher stock price. And I think a lot of it has to take a look at the value metrics. And when you look at performance, 15 to 21 times EBITDA for data centers, especially with HPC. So if you take a look at this past quarter, even with the halving and you were to do a simple projection, it means that based on relative valuations to data center business that are not mining Bitcoin, HIVE is an extremely attractive asset to own in a portfolio. Look at this volatility from weak hands to strong hands. Understanding the yen Japanese carry trade. I've lived through it before. I saw what it did in '97. I was in Hong Kong at the time when it started to take place and all the countries in Asia had borrowed cheap money from Japan. Japan wanted $250 billion back, but the money had gone into buildings and skyscrapers. So countries had devalued their currency like Indonesia by 70%. The Philippines had devalued their currency by 25%. And so you saw this sort of currency devaluation emerging markets take place. And you saw any asset that was speculative all of a sudden be sold down. And we saw this only 10 days, not even 10 days ago, with Japan raising rates and its carry trade is estimated to be a trillion dollars. And a lot of Bitcoin was leveraged in owning. And all of a sudden Bitcoin falls from 60 to under 50 in this massive liquidation and panic. It was incredible last week for four days. I don't know if it's over. Historically, it doesn't all end in one day. But it's just one of those factors that Bitcoin ecosystem of almost 20,000 nodes around the world continue to mine and function 24/7. Brokerage firms in the U.S. basically couldn't take trades. They had shut down. But Bitcoin network, it continued to function. And so did HIVE. We continue through this storm like other storms is to continue to produce and function like we do every day. Recently, we were at the Nashville Bitcoin Convention, which was incredible for many reasons. This event was extraordinary. The Nashville Bitcoin Conference was epic. And I think it's because you have high profile speakers participating. The conference attracted, as you can see here, President Trump and Robert F. Kennedy Jr. and both endorsing and supporting Bitcoin as a strategic asset. Then you saw a global representation, a networking group of 20,000 people from 50 countries showcase their global reach and the adoption of Bitcoin. And many ideas and collaborations were taking place. And the focus on Bitcoin's future innovations, the conference, it featured cutting edge discussions on the future of Bitcoin. And I think it was an incredible, epic presentation by Michael Saylor, which is like 42 minutes. And we had Holly, who started this presentation off today. She has done a three minute YouTube summary. If you don't have time to watch the full 42 minutes off that slide presentation by Michael Saylor. And I think it's just fantastic and informative and timely. Last week, we saw during this volatility, Morgan Stanley on the next slide says it is allowing 15,000 wealth advisors to sell Bitcoin ETFs to their clients. This is all part of that slow adoption process that's significant in the Bitcoin ecosystem. And then we saw what really drives a lot of alternative asset classes on the next visual. The idea of owning an asset like gold or art from original painters, the growth of art like Andy Warhol or Picasso Prints is the original signed prints is gone up 30, 40 fold over time since the 60s and 70s. And I think it's important that a lot of that corporation has to do with money supply and a lot of the original gold bugs that went into gold as an alternative asset class. They articulated this and we've seen this growth in the Bitcoin ecosystem that the adoption of young, smart minds into Web3 all understand why you want to own an asset class like Bitcoin with a cap at 21 million coins and something like 93% has already been mined. But as the money supply continues to grow to all time high, that is just extremely bullish for the global network, for the Bitcoin global network. And as we see the adoption taking place, I think we can see Bitcoin trade at much higher prices over time. But during all of this, I mentioned earlier, we in the next slide, we function 24/7 and the team meets every morning in nine time zones to make sure that the machines are plugged in. And why do we do that? Well, when we look at Bitcoin mine to the average active hash rate, we show ourselves being up there in the highest rankings. And we're very proud of that. Now, there's a couple other companies that have shown up in this data set, but they're less than an exahash, not include them, or they have a lot of where they basically have other people using their data centers. So it's really not reflective of them mining Bitcoin for themselves. And that's something that HIVE does. And we HODL, as you can see, on a regular basis, as much Bitcoin or balance sheet as possible. And that has had a significant impact. Like I mentioned earlier, Bitcoin a year ago was 30,000 and now it's 60,000. But our total position has increased substantially. So that is creating wealth for the long term shareholders of HIVE. Ranked by utilization, we have a 95% ranking, and that is just from our self-mining, not from other people using our facilities. I think that that's just really important in this equation. And then revenues energized by petahash for July. As I said, I look at the big miners out there and HIVE is an incredible number and it's on a consistent basis being a leader in revenues that are energized for petahash. And we do it with green energy. We're not doing it with other sources of energy that are coal related. And it's been a big challenge to find reliable green energy. And that's a big reason why we said we're going to expand and double our footprint in Paraguay, because we're able to source competitive, inexpensive on a relative basis, but competitive green energy for our future. As you can see, ranked by BTG production per exahash but I find it interesting that Marathon, who I have the greatest respect for the company and the CEO, that their number would be bigger when you look at it. So they must have other sources of revenue showing up. But still, it really is important for investors to look at how lean our team is, having the lowest G&A to mine a Bitcoin. When you look at relative market caps with Aydin, we'll go into greater detail and granularity about for you and how we function, because most of these other companies function in one country or just in one state. They are not diversified and they do not have to rely on sourcing green energy. And during all this journey of being the first crypto mining company of September 2017 to-date, this visual highlights about being lean and functioning. And we have not had this experience of negative big losses. We do not leverage our equipment. We've never leveraged our equipment. We've not gone through the bankruptcies of many of our peers have. And we have been able to, even during the worst of times when FTX blew up, we were able to come in and buy machines at great, great prices because we had cash in the balance sheet. And we've already received our money back on buying them at a great, fantastic price. So this is an important visual that is not just last quarter. This is showing you going back quarter-in, quarter-out, year-in, year-out, up cycles, down cycles, Ethereum, which was a big profit center, leaving us and how we repositioned the company and to continue to prosper. Positive corporate margins through the bear market. This is just another visual highlighting the previous one, showing you quarter-over-quarter of what we've been able to do. And this is a important indication of our capacity to adapt to these external forces that happen. So you can see here that we have about 117 million shares outstanding. We've done analysis that our peers have in this time period in the past year, increased their number of shares out by 300%. So we have the amongst the lowest G&A and the number of shares issued to attract and retain great employees to expand and buy new equipment to increase our global footprint. Now, I'd like to turn over to the longest standing CFO in the Bitcoin industry, a snapshot for growth by our CFO, Darcy Daubaras.
Darcy Daubaras: Great. Thank you very much, Frank. This part of the presentation, I'll be taking you through a snapshot of the period, as Frank had mentioned, looking at the most recently completed quarter and some financial indicators. We are providing certain non-IFRS measures in our presentation today, and the company believes that these measures, while not a substitute for measures of performance compared in accordance with IFRS, provide investors with an improved ability to evaluate the underlying performance of the company. These measures do not have any standardized meanings prescribed under IFRS and therefore may not be comparable to other issuers. Further details can be found in our management discussion analysis for the three months ended June 30, 2024. Moving on to the next page, I'd like to remind our stakeholders that our earnings are comprised of our operational earnings or cash flow, plus our investment earnings, which includes realized and unrealized earnings, which often includes non-cash charges. Taking a look at the next page, mark-to-market is an accounting practice that involves adjusting the value of an asset to reflect its value as determined by current market conditions. The market value is determined based on what a company would get for the asset if it was sold at that point in time. Mark-to-market losses or gains are paper losses or gains generated through an accounting entry rather than the actual sale of the security. The swings in digital assets impact our paper profits and losses each quarter. So our Bitcoin digital assets do generate unrealized gains and losses each quarter. It is important that investors understand the differences in operating earnings or losses in addition to mark-to-market paper gains and losses each quarter. Speaking about non-cash charges, those are the write-downs or accounting expenses that does not involve cash payment. Items such as depreciation, amortization, depletion, stock-based compensation and asset impairments are just a few of the common non-cash charges that reduce earnings but not cash flows. Moving on to the next slide, taking a look at a financial review during this most recently completed quarter of June 30, 2024, we recorded $32.2 million of revenue and $14.9 million profit in adjusted EBITDA. This was driven by a production of 449 BTC equivalent mined during this most recent period. And to remind our listeners, as Frank had mentioned, this is following the April happening event that we all experienced. Moving on to the next slide, taking a look at the healthy balance sheet that we continue to have, our cash position stood at $25.6 million as at June 30, 2024, along with an additional $153.9 million in digital currencies comprised almost entirely of our Bitcoin HODL position. We also had $4.4 million in amounts receivable and prepaid, a slight decrease from the prior period. The total market value of our strategic investment increased by 118% to $15.2 million at the end of the period. We maintain a strong net cash position and healthy working capital position to fund our ongoing operations and growth objectives, with a current ratio being our current assets divided by our current liabilities of 7.35. Looking at the next slide and switching gears, taking a look at our gross operating margin on a year-over-year basis, comparing the first quarter is completed to the first quarter of our fiscal 2024. Our gross operating margin, which equates to our total revenues minus direct operating and maintenance costs, increased in absolute dollars to $11.4 million in the most recent quarter, compared to $8 million in the prior year comparative quarter. Gross mining margin is also partially dependent on various external network factors, including the high mining difficulty we are experiencing, the amount of digital currency rewards, miners receive and the market price of the digital currencies at the time of mining, which were on average higher than the prior comparative period. As you can see in this most recently completed period, we are reporting a net income of $0.03 per share compared to a net loss of $0.19 per share reported in June 30, 2023, last year. Moving on to the next slide, taking a look at our year-over-year revenue, we generated total revenue in the first quarter of fiscal 2025 of $30.2 million versus $23.6 million in the previous year's first quarter. The increase in revenues versus the same quarter in fiscal 2024 can be attributable mostly to the average Bitcoin price, which was double what it was last year, even with the ever increasing Bitcoin difficulty hash rate over the past 12 months. As mentioned previously, our gross mining margin, which equates to our revenues minus direct operating and maintenance costs, increased in absolute dollars to $11.4 million or 35% in the most recent quarter, compared to $8 million in the prior year comparative, which had a 34% operating margin. Turning to the next slide, comparing our current fiscal Q1 quarter to the previous Q4 quarter, we generate a revenue in this first quarter of $30.2 million versus $36.9 million in the previous quarter. As has been talked about previously, this decrease in revenues versus the prior quarter was impacted substantially by the April halving, leading to less Bitcoin produced. And this was partially offset by an increase in the price of Bitcoin. Our operating gross margin, also in absolute dollars, was $11.4 million in the most recent quarter compared to $16.3 million in the prior quarter comparative. This decrease in gross mining margin versus the prior quarter was negatively impacted by the halving that took place early in the quarter. As we continue to talk about, we have been extremely strong in our operations, but as a result of the halving, we have been able to adjust and we've done a very good job of that. Looking at the next slide, our adjusted EBITDA in this first quarter of fiscal 2025 was $14.9 million versus an adjusted EBITDA of $16.2 million in the prior quarter. I will highlight again that adjusted EBITDA is a non-IFRS figure. In the first quarter, we experienced a net income of $3.3 million compared to a net loss of $3.5 million in the prior quarter. I want to again thank our loyal stakeholders and shareholders that are listening. And at this time, I'd like to turn the presentation over to our president and CEO, Aydin Kilic, for an executive update. Aydin?
Aydin Kilic: Thank you for that excellent summary. It has been a solid quarter and we're going to start off actually by looking at our production of Bitcoin over the last 12 months. So we have mined almost 2,600 Bitcoin with green energy over the last 12 months. As Frank and Darcy both mentioned, this is a first fiscal quarter for all of the public miners where we are post-halving. And as you can see here, we've delivered solid and consistent production since the halving 119 Bitcoin in May, June and 116 in July. And this is a time when we've seen difficulty really maintain high levels in the 80 trillion to 85 trillion range. And how we continue to have consistent production is we had new machines coming in from our S21 and S21 Pro orders to reach our target 5.5 exahash install. Now, I do want to note, and we're going to start talking about this more, we are in a bearish cycle of crypto mining. It's obviously post-halving. We're seeing difficulty actually out of this last epoch, all time high to 90 trillion. And so, what that means is we're in a bear cycle where you really want to manage profitability and have the best in economics. So, we're actually now operating about 5.2 exahash where we've improved the efficiency of some of our older machines, by firmware optimization. And there's a very good reason why we do this. And that's on the next slide. Profit. Another quarter's with positive gross mining margins. As you can see, this is $32 million of revenue this quarter with $11 million of gross mining margins. So add another one to the chart. I think next quarter we should have a slide that shows, Hall of Fame jersey hanging from the rafters. So I'm not aware of any other public crypto mine that's mined profitably over the last three years. And so, the reason why we're so meticulous with how we manage our hash rate, our firmware, and we are extremely analytical, paying attention to hash rate economics and also energy markets, again, with transventions, hedge markets in Sweden, et cetera. This is how we have a multifaceted strategy, to deliver quarter-over-quarter positive gross mining margins, as a public company. And right now, we are in the $40 hash price range. So we're all time low for hash price, post-halving the $45 to $55 per petahash per day hash price range. And what's interesting is you'll notice our mining margin is actually better this quarter, than it was in the winter of 2022 bear market. And the reason why, is because this is more of a macro commentary now, for the Bitcoin mining industry. We have the new generation S21 and S21 Pro machines that exist in this post halving era that are allowing miners to generate better revenues on a dollar per kilowatt hour basis, compared to the mining economics in late 2022, which were in the $50 to $55 per petahash per day range. But back then, the best machines on the market were just the XP and maybe the K Pro. And so what does that mean? So you look at the advent of hardware innovation and we have machines now that are in the 15 to 18 joule per terahash efficiency range, whereas a couple of years ago, the best machines, which weren't that prevalent, by the way, right, like the S21 XP was very overpriced. Those were in the 22 joule per terahash range. We bought a bunch of K Pros. They were phenomenal. $11 a terahash, 23 joules a terahash. And so, that's just a little bit of, the some of the notes of how we would hit these cadences, of consistent profit through the quarter. So that's on the operating side of the business. Let's slip to the next slide. This is corporate margin. So I'm very proud of this slide as well. Our team works very hard in order to realize, the numbers that you see here. Corporate margin is our gross operating margin minus our G&A as a public company. So it's a public company. We have a lot of different costs. As you can imagine, there's all the executive costs. There's travel to go to conferences, sponsoring conferences, Investor Relations, marketing, lawyers, auditors, Directors and officers insurance. There's a lot of overhead. We have at HIVE Digital the lowest G&A per Bitcoin margin in the industry. Full stop. And so what you have is a company that is still making money fundamentally, after you subtract these corporate operating cash costs. And this quarter we did $8 million, right. And so year-over-year, by the way, we're up about 60%, right? A year ago, it's $5.2 million of corporate margin. And so, we believe that by having low G&A per Bitcoin mine. And by the way, this applies if you go back those three years, we've had positive corporate margin over the last few years as well. We believe this gives investors the best access to Bitcoin as an asset class. Almost functioning like a gold royalty streaming fund, which is a French vision when we really founded HIVE. And so, Strip Boy, all the unnecessary blow, have a high octane, high horsepower machine, consistently we're ranked with having the best cash rate utilization in the sector, green energy, globally diversified, low operating costs. And this is how you have a high value company, not just looking at it through the lens of Bitcoin mining stock, but really just as a company with great fundamentals. So if you hop to the next slide, we can look at this same ideology through a more accounting focused lens. So we talked about the depend news outflow to add what's out there. So super solid quarter, $14.9 million of adjusted EBITDA and $18.8 million of EBITDA. Now, if you tally that up for the year, what that works out to is an adjusted EBITDA of $47 million for the year, and an EBITDA of $40.7 million for the year. So these are great numbers, and it's been another solid quarter. Knowing how, we're performing on an adjusted EBITDA basis, which is a good apples-to-apples comparison amongst our peers, because some companies have different ways that they book non-cash charges. We try to look at the business, of how are you operating on adjusted EBITDA or at least that's what the analysts look at. And on the next slide, these are just the companies that reported to-date, right. So some companies are still going to report in the next couple of days. But for now, you could see that we are trading at an enterprise value, which, by the way, as of last Friday, August 9, when we updated all the data, our enterprise volume is only $154 million. Why? Well, our market cap is $300 million, but we're holding about $150 million of Bitcoin on the balance sheet. So when you look at that enterprise value of $154 million, and you realize we did $14.9 million EBITDA, adjusted EBITDA for the quarter, that's almost $60 million EBITDA annualized. That means they're easy to adjust EBITDA multiples only 2.6. Now, first of all, that from first fundamentals is already attractive. But when you look at where our peers are trading upwards of 10x, 15x, 20x and more, we are an absolute bargain. So why is this? I get asked often. I think it's because our office is headquartered in Vancouver. So having the U.S. address is very important for getting indexed on the Brussels 3000, et cetera. And I think a lot of our peers, spend a lot more money, which we can see from the G&A expenses on marketing and hiring PR. We're very proud of what we do. We do think, we go to the conferences, we tell the story. We meet with retail investors, institutions, et cetera. But nevertheless, we believe we're trading at a discount to our peers, and that provides a great opportunity, in my opinion. On the next slide, we look at easy to annualized revenue. And this is even more, what's the right words here? Attractive, maybe even mind boggling with $32 million of revenue for the quarter and enterprise value of 154. Our easy to annualized revenue is 1.2x. Again, an absolute bargain when our peers are trading it two, four, six times. So again, we just like to point out I'm an engineer, by the way. So I have clear numbers. We live and die by them. But consistently, I demonstrate high performance, high value, low overhead. I'd love to be at a higher multiple and sort of that's a nice place to be. I suppose the only way, if you're really high multiple is the only way you can maybe go down. So we're trading at a great discount right now. So, I think the only way it should go is up. Now, if we look at the next slide, I'm really excited about this one. So this is our growth profile for the next year. So we've signed a PPA in Paraguay for 100 megawatts. And with S21 Pros, this would add another 6.6 exahash to our 5.5 exahash installed today, which would bring us to 12.1 exahash. And by the way, our efficiency globally, if we were operating at 12.1 exahash with S21 Pros, we'd come down to 19.3 joules a terahash. Today we're at 24.5. So that would give us, I mean, we already - have one of the most efficient fleet of ASIC miners on the joule per terahash basis, which again, for all the enthusiasts out there, the better your efficiency on a joule per terahash basis, the lower your cost of Bitcoin production. So this, again, would take us to 12.1 exahash and a global fleet efficiency of 19.3 joules a terahash. So this is very exciting. Our target is Q3 of 2025. And by the way, our team was out there this year, hoping to find out. And that's what 100 megawatts look like, right? So dedicated substation. So really exciting. The other attractive thing there, of course, is green energy. As Frank mentioned, it is much tougher to find green energy at scale, than if you just are willing to get grid mix or carbon emitting. And so, what another very compelling and exciting merit of our site in Paraguay is that we expect the cost of Bitcoin production to be about $22,000 with new generation equipment at the site on a quarter of the low power cost. So very exciting. That's a little bit more color. We'll be providing more updates and news releases to come on the next slide. A little bit more commentary on the post-halving mining economics. So again, we've had solid production over the last three months. We're showing July here as well. Again, the interim year end was June 30, but we included the July production report as well. So our installed hash rate is 5.5 exahash. We received all of our shipments of S21s and S21 Pros. In total, those are 9,586 that have been installed from January through to the end of July. But as mentioned, we are operating our older machines, our three joule per terahash machines. We've actually down-clocked them to go below their rated operating efficiency and improvement to have better profitability and better unit economics. And again, when I show that slide that we've been mining profitably for the last three years, how we do that is we're very analytical and very granular on how we manage our ASICs. We're constantly looking at hash price, studying what our electrical price is at every facility relative to the break-even price of each machine. Can you improve the break-even price of that machine by adjusting its firmware? If you can, we absolutely do it. And when Frank talks about huddling in nine time zones, all our site captains, everyone's dialed into the program. And so that's how we function like a well-oiled machine. Next slide. So this is big news and this is great news. We have grown our huddle month-over-month since this happened, which I think is remarkable. So we are at 2,533 Bitcoin mined with green and clean energy. Again, it makes us have an incredibly attractive enterprise value of only about $150 million. And on the next slide, a quick update. But a great one on our milestone. So we reached $10 million in annualized run rate revenue. Everybody was $2.6 million for the quarter, which of course I would be $10.4 million for the year on an annualized basis. It was very exciting. We broadcast this would be an interim target of ours in some of our earlier press releases describing the growth of our AI businesses and our Nvidia chips. So, we have over 4000 Nvidia A-series cards, the A4000, A6000 and 5000, which we're running in Tier 3 data sets. In addition to that, we have 96 H100. So very glad that we reached this interim milestone of $10 million annualized run rate revenue. Our target for the second half of this year is still $20 million. And our target for next year, which is our blue sky, is $100 million annualized run rate revenue from the AI business. How are we going to get there? Stay tuned. We have some really exciting announcements. We've been very diligently pursuing expansions and procuring opportunities for having the absolute best GPU hardware available on the market for the next generation. And so, we will be providing the market more color on our plans for the second half of this year and 2025. So stay tuned for more. It's been a great quarter and we look forward for more to come.
Operator: Thank you, Mr. Kilic. [Operator Instructions] We'll go first this afternoon to Mike Colonnese at H.C. Wainwright. Mike, please go ahead.
Mike Colonnese: Hi, good afternoon, guys. And congrats on signing the new site in Paraguay. Great to see that. A couple from me. First, I'm curious, which site will you guys be converting over to HPC from Bitcoin mining? And what will be your strategy for the 20 megawatts? Do you think you'll purchase and deploy your own GPUs as you've done in the past? Or will you focus more on a co-location model here?
Aydin Kilic: Hi Mike, it's Aydin here. I'll take that one. I just want to make sure. Can you hear me?
Mike Colonnese: Yes.
Aydin Kilic: Okay. Excellent. I'm just dialing in from Boston. So the sites we are building for New Brunswick and then one of our sites in Boden. So these are, I mean, all of our facilities are data centers. New Brunswick in particular and Boden. I mean, Boden used to be a GPU mining facility. And our facility in New Brunswick is, what I like to call a military grade data center. So, you know, you've got you've got a structure there. You've got great bones. And of course, all the power distribution from high voltage down to 415 volts is already been done. So it's a matter of adding UPSs, chillers, generators, et cetera. Everything you need to get to Tier 3 uptime. And the nice thing about the retrofit is a lot of the long lead time items are on the high voltage side. And so a Greenfield just in broad strokes might take two years. Retrofit is more than nine to 12-month range. And so the CapEx on a dollar per megawatt basis on a retrofit, you're looking at more in the $5 million to $8 million per megawatt range. Whereas in a Greenfield, you're more in the $10 million to $12 million per megawatt range. So that's that.
Mike Colonnese: Great. Great. Now, appreciate the color, Aydin. And as far as the go-to-market strategy there, do you think you'll fill that capacity up with self-owned GPUs as you've done previously? Or do you think you'll take more of, again, that co-location model approach? And how should we think about the unit economics there?
Aydin Kilic: All right. Yes. So to put it into context, like one, like, using the H100 as an example in broad strokes, about $30 million a megawatt to populate. Right. So it's very CapEx intensive. And the other ratio that's important to consider is that when you're building Tier 3, you have PV, power utilization ratio. And so, if you have 30 megawatts of power, you're going to end up with about 20 megawatts of IT load or compute. Whereas in crypto mining, if you have 30 megawatts of power, you're going to be using maybe 29 megawatts for mining. There'll be very little ancillary overhead. So with 20 megawatts, right, and $30 million, that would be approximately $600 million. Again, in broad strokes, there's obviously Blackwell architecture coming out next year. There's H200s coming out in Q4. I'm just talking about giving a high level understanding of the economics of it. Now, it is, of course, attractive to purchase and operate your own GPU cloud, because that's how you realize those $2.50 per kilowatt hour revenues when you're renting out H100s. On the colo side, we're seeing that rates could be anywhere from $0.25 to $0.50 a kilowatt hour. So there are two different business models akin to mining crypto, where if you offer hosting, margins are thinner, they're more stable. It's more of a long-term ROI. Whereas if you're self-mining, there's more CapEx involved. But you can realize potentially quicker ROIs based on crypto mining economics. So I think it would be a hybrid and we would want to bring the capacity on. We have been generating revenue. We hit $10 million of annualized revenue this quarter from leasing our own GPU. So, we do - plan to expand that. But 20 megawatts is a lot of CapEx to fill up with GPU. So we're evaluating the most secretive path forward right now.
Mike Colonnese: Got it. Thank you for taking my questions, Aydin.
Frank Holmes: I just wanted to add, it's Frank here, if you can hear me. In Paraguay, we're about an hour and a half to two hours from the capital of driving, Valenzuela. And it's a nice, nice, beautiful green town. And we're so impressed with the infrastructure and the ease of being able to drive there. We took a chopper and visited all the other sites. And a lot of them, are just too far away for our initial. We want to be able to drive, and make it very functional and easy to build.
Mike Colonnese: Got it. Great to hear from you, Frank. And congrats again on the Paraguay site.
Frank Holmes: Thank you.
Operator: Thank you. We take our next question now from Lucas Pipes of B. Riley.
Unidentified Analyst: Thank you very much, operator. And good afternoon, everyone. This is [indiscernible] asking questions on behalf of Lucas Pipes. And my first one is on your new third quarter '25 target. How should we think about cadence of deployment here? So is it going to be skewed towards the end of 2025, let's say quarter towards 2025? Or it's fair to assume a gradual ramp up? And where things stays on financing side of this expansion. Just how much do you plan to spend on these hundred megawatt data center this year? And maybe in 2025, if you can just provide additional color here would be great? Thank you.
Frank Holmes: So, we haven't disclosed the exact capital outlay plan. However, it is extremely attractive on a dollar per megawatt basis in Paraguay. And why we chose Paraguay was threefold. The attractive dollar per megawatt build out costs for us to complete a hundred megawatt site, the low cost of power, and of course, the fact that it's green energy at scale. And so, those three unique conditions are what make Paraguay very exciting. And we will be providing the market more details on capital allocation, and build out costs, et cetera as the project moves forward.
Unidentified Analyst: Thank you. And regarding the cadence just, is it fair to assume just gradual ramp up from now to all the way to third quarter of 2025?
Frank Holmes: Sorry, is it fair to assume what?
Unidentified Analyst: How should we think about ramp up of hash rate?
Frank Holmes: Typically, in the first six months, you're doing high voltage and substation work. And you'll bring on capacity in that second half, perhaps in the third quarter of 2025, is when we would expect hash rate to start coming online.
Unidentified Analyst: Got you. Thanks for that. And the second one is on AI cloud progress.
Aydin Kilic: I'd just like to add some color to that. Is that we will do like a New Brunswick to build a campus of buildings and then you start putting in equipment to start as fast as possible to get the cash flow. You don't wait till everything's finished and then turn on get the machines. But like I said, it'll take six months - to nine months. But as soon as a facility of these buildings are built, we will start stocking machines to plug them in.
Unidentified Analyst: Got you. Thank you very much. And my second one is on AI cloud. So with respect to the Paraguay expansion, will it affect your plans on purchasing latest gen GPUs for your AI expansion?
Aydin Kilic: So the response I was providing Mike earlier about some great questions. Those are actually the near term AI conversion opportunities, are actually in New Brunswick and Sweden. At existing operating facilities. And so, these have a six to 12-month construction timeline on a retrofit. And so, if we were to purchase, which we've talked about, we've been very carefully going through an engineering procurement exercise for next generation GPU compute, it would go to those locations. And currently 100 megawatt allocation in Paraguay is forecasted, to more than double the Bitcoin mining capacity from 5.5 exahash to 12.1 exahash.
Frank Holmes: And I think just to add to that, sorry to add, I want to explain about this continuous process that we're spending every month and taking equipment that's for delivery immediately, and upgrading the suite, lowering our cost and improving our exahash. We have a like - and I like the best example is that I'm in South Texas, is like oil and gas and gas when you're drilling and you're fracking, you have to always be drilling. So, we are always upgrading our suite of basic chips. And I think that after we've completed our spin, it'll add with the new more efficient machines Aydin. Is it about one and a half exahash?
Aydin Kilic: Yes, that's right Frank. So we have a, our global fleet average is 5.5 exahash installed with an efficiency of 24.5 joules per terahash. That constitutes, pardon me, approximately 8,030 joule per terahash machines. If we upgrade those three joule per terahash machines to S21 Pros, that would yield an additional exahash and bring our average efficiency down closer to approximately 22 joules a terahash. So that can be the upgrade within our existing facility. And by doing five, we always like, as Frank mentioned earlier, we like to have capital performing. So when we order machines, it's for immediate delivery so they can get plugged in. We have seldom, if ever, do large machine orders where they come in, six months later. We like to have rolling, if not immediate, deliveries of ASICs. So we, we always target a one year ROI. Now, of course, that's variable that stretches out a bit in a bear market, but it also shortens a lot in the bull market. So our whole business model is based on cash flow, return on invested capital. So, we see it as a success if the ASICs we purchase, or GPUs for that matter, when we run them, after you subtract your operating costs, have you made a profit? Have you made a handsome profit in the time that you've been running them? And if you even sell them, sometimes on the secondary market, you can add that back. And one golden example I'd like to point to in the bear market of 2022 is, we bought J-Pros, S19j Pro, for $10 a terahash. And even in that bear market, because we got them for such a great deal, they had fully repaid themselves off in a year and continued to free cash flow after that. So that's sort of the methodology of how we upgrade the site. We don't necessarily do massive orders. We're constantly evaluating the landscape. Yes, we talk to all the big three manufacturers, but we also talk to every broker in the industry. And whenever there's an attractive immediate delivery deal, we pull the trigger. That's why you'll notice we did 7,000 machines, another 1,000, another 1,000, another 500 to prep for the halving in the last six months.
Unidentified Analyst: Thank you very much for your perspective. Wish you best of luck in next quarter. Thank you.
Aydin Kilic: Thank you.
Operator: Thank you. We go next now to Mike Grondahl of Northland Capital Markets.
Mike Grondahl: Hi guys, thanks. I just wanted to follow-up on the HPC strategy. How have demand been from customers, and what type of customers have you talked to regarding the 20 megawatts?
Aydin Kilic: So the 20 megawatt is first and foremost, an infrastructure project for us. And as we work to build that out, typically larger customers like to see the project underway before you start negotiating pre-leases. So what we've been doing is focused on getting scheduling down. So customers who are wanting compute to come online will want to know when they can expect that compute to come online. And because there are so many new iterations of NVIDIA hardware, the engineering procurement exercise I alluded to earlier, you kind of have to have, it's like matching two puzzle pieces to make sure they're the right fit. So the data center capacity is going to be air cooled, it's going to be liquid cooled. Next generation stuff will likely be liquid cooled, if not all liquid cooled. And then are you going to be working with Blackwell, H200, et cetera? So we'll be able to provide more color on that as we provide more announcements. But that's just the methodology of the process that you go through when you're doing these larger build outs. I hope that's helpful.
Mike Grondahl: Yes, sure. And then just secondly, what are your top three priorities for the second half of calendar '24 now?
Aydin Kilic: So we hit our $10 million ARR for AI revenue this quarter, which I'm very proud of our team for realizing that milestone, which we broadcast previously. Our target for H2 this year is $20 million of ARR. So that is one target. And that's working with bringing more GPUs in our cloud business online. The other target is to have both Paraguay construction underway and the 30 megawatt conversion into 20 megawatts of HPC underway. So the completion of the latter two infrastructure projects will fall into 2025, of course. But to have those projects broken ground would be a goal that we would be very pleased with this year.
Mike Grondahl: That's great. Thank you.
Aydin Kilic: Great question. Thank you for asking.
Frank Holmes: I was just like that too. Oh, sorry. I was just trying to it's Frank here to add some color to what Aydin is saying, is that when people make these announcements from crypto mining, all of a sudden they're going to HPC. It's very, very complex. And it's much more complex than I ever expected. But what Aydin is saying is that we've hit $10 million. That's basically the same team that's been building that out and repurposing those chips. So that's a heck of an accomplishment, because that's almost like free cash flow what it throws off. And what we're finding is that when we go to order black wells, et cetera, the costs, the engineering is much different. It's much. You're building a brain. And it's like a bunch of neurosurgeons are brought into the room. The engineers at the beginning just don't believe how much energy is going to be consumed. How heavy is the steel infrastructure to hold up these black well servers? There's a litany of complexity that goes into these expansions. So one of the things which we said is that we have six megawatts of electricity and Boden. We own the land. We own the facility. Let's start. It's a military town. Let's start right away there. And then we said, hi, in New Brunswick, we have this additional electricity that we have ability to. We have variable and we have fixed. And let's take a portion of the fixed. And as we're in that journey of getting the engineering, et cetera, and we're discussing with Nvidia these various chips, all of a sudden it becomes that we're in conversation with Nvidia engineers that we have to rethink the structure, the building. Do you need reinforcement? Do you need this or that? So it is phenomenally fascinating, but it's much more challenging than what people think. But what's sweet about it is that you can be making $4 an hour versus $0.15 Bitcoin mining. That's the real big difference when you look at the business.
Operator: Thank you. We'll go next now to Bill Papanastasiou at Stifel.
Bill Papanastasiou: Thank you. Good evening, gentlemen. Thanks for taking my questions. For my first one, I was hoping you'd be able to share your outlook for the Bitcoin mining landscape, and how that plays into your philosophy, to scale operations going forward, as you look to double the hash rate capacity here with Paraguay?
Aydin Kilic: Well, we have always tried to utilize cash flow from the business to grow the business and, of course, adhere to the green energy mandate, which makes it a lot tougher. I mean, we could have - there was a lot of opportunities we've looked at. We could have gone nuclear. We could have just gone grid mix. And even within the realm of renewable energy, we did look at some interesting opportunities in the U.S. where you could have gotten $0.025 power. But then you're spending $2 million a megawatt getting on the energy production side, contributing to the CapEx and the solar farm. When you look at those ROI, they really start to stretch out very long and - it doesn't make economic sense. And so getting back to the three pillars of why I think Paraguay is such a home run, is because you have the cheap dollar per megawatt CapEx to build out. You have the attractive electricity costs. We'll provide more details on these specifics in due course. And then, of course, the green energy at scale. Now, of course, to do a hundred megawatt site, that will require capital. But this is what we believe a truly accretive use of capital. So we're excited about this project.
Bill Papanastasiou: Appreciate the color there. And then just shifting gears to the GPU as a service business. How are you seeing or assessing the sustainability of prevailing market compute prices for the GPU hardware that HIVE has in the fleet over the next 12 to 24 months? And can you share some more color on utilization rates? Thank you.
Aydin Kilic: Yes, that's a good question. Like with all technology, whether it's your home computer, your iPhone, ASIC miner for Bitcoin or an NVIDIA GP, they have economic life cycles. Right. And really, the A100, right the [Ampere] series was still in use and is still in use, and is still considered very viable. And the H100 came out, the Hopper architecture. And so, what happened was people were paying a premium for the Hopper architecture, but they would still pay a lower amount to get compute using the A100. When the Blackwell comes out, we'll have the same effect. So I would say if you use a melting ice cube analogy, the hourly rate for GPUs melts at a much slower rate than Bitcoin mining ASICs, right. And I think that, a big part of being able to be a true player in this space that, we haven't really touched on yet on this call. So your question is a good one, because it brings it to light is uptime, right. So in crypto mining, when you look at the Bitcoin per exahash, HIVE is usually in the top three consistently, not usually, but consistently. And we're talking 98%, 99% uptime. That's a home run in crypto mining. And then, some of the peers are like 95%, 90% uptime. There's no room for 90% uptime in AI, right. Like, Tier 3 is 99.998% uptime. So I think what the aspiring crypto miners that want to get into this sector. Will wrestle with is delivering that uptime for people that want to train foundational models that do fine tuning. And we've done a lot of that. I mean, we serve 120,000 GPUs in the East mining era. And we've grown our AI compute revenue, from $1 million to $10 million ARR in the last year and a half. So, we've been building that - building on our pedigree of operating GPUs. And we do a ton of stuff on the R&D side, looking fine tuning data sets, et cetera. So making sure that when we work with researchers that, they have a good keyword is user experience, because you do have a user, right? You're not just submitting hashes, to the Bitcoin network. And if your server gets disconnected, reboots and then it tries again. So I think the key is good uptime and a good user experience. Will allow you to realize those long-term contracts, because once you sign a contract for a year or two, what have you, you've got to deliver. There's SLA service level - performance requirements. And we're seeing long term contracts for H100s roughly in the $2.50 per hour and some $2.20. It's all a negotiation, right. So I hope that answers the question, Bill.
Bill Papanastasiou: I appreciate the color.
Operator: And gentlemen, it appears we have no further questions today. Mr. Kilic, I'd like to turn things back to you, sir, for any closing comments.
Aydin Kilic: Yes, I just want to thank my whole team. Frank pointed out we function across nine time zones. We are the longest standing crypto miner. We used to mine Ethereum. That business did $150,000 a day. It was a 90% profit marching business, and we never got a premium for it. Instead, we always contended with the FUD, fear, uncertainly, a doubt that the merge was coming. And then when the merge came, we pivoted, and we started mining all coins with the GPUs. And then, we started reversing some GPUs for HPC compute. This is now HIVE's second Bitcoin having event. And as Darcy pointed out, we've got $150 million of green and clean Bitcoin on the balance sheet, unlevered, unencumbered. We've not taken on any debt to purchase ASICs. So I think that we've really emerged as a best-in-class performer. But when you look at the comp tables, the enterprise value to EBITDA, we're trading at a discount. So for all the analysts that are here, thank you so much for dialing in, and asking these excellent questions. And I think that we really just focus on pound-for-pound, being the most profitable, best in economics. We realize scale is important. That's why I've been telling people we know the market doesn't care about five to six exahash. That's why we said, okay we need to go from five to 10 to 15. So stay tuned. And I think it's going to be an exciting year ahead. We always see that bull market come about nine to 12 months after the halving, if history is any indication, which it usually is. Thank you, everybody.
Operator: Thank you, Mr. Kilic. Ladies and gentlemen, that will conclude the HIVE Q1 earnings conference call. Again, thanks so much for joining us, everyone. And we wish you all a great evening. Goodbye.